Operator: Good day, ladies and gentlemen, and welcome to the Medpace Fourth Quarter and Full Year 2020 Earnings Conference Call. [Operator Instructions]. As a reminder, this call may be recorded. I would now like to introduce the host for today's conference, Kevin Brady, Medpace's Executive Director of Finance. You may begin.
Kevin Brady: Good morning, and thank for joining Medpace's Fourth Quarter 2020 Earnings Conference Call. Also on the call today is our President and CEO, August Troendle; and our CFO and COO of Laboratory Operations, Jesse Geiger. Before we begin, I would like to remind you that our remarks and responses to your questions during this conference -- teleconference may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve inherent assumptions with known and unknown risks and uncertainties, as well as other important factors that could cause actual results to differ materially from our current expectations.  These factors, including the ongoing impact of COVID-19 on our business, are discussed in our Form 10-K and other filings with the SEC. Please note that we assume no obligation to update forward-looking statements even if estimates change. Accordingly, you should not rely on any of today's forward-looking statements as representing our views as of any date after today.  During this call, we will also be referring to certain non-GAAP financial measures. These non-GAAP measures are not superior to or a replacement for the comparable GAAP measures, but we believe these measures help investors gain a more complete understanding of results. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP measures is available in the earnings press release and earnings call presentation slides provided in connection with today's call. The slides are available in the Investor Relations section of our website at investor.medpace.com.  With that, I would now like to turn the call over to Jesse Geiger to discuss our financial results and 2021 guidance.
Jesse Geiger: Thank you, Kevin. Good morning, everyone. Our net new business awards entering backlog in the fourth quarter increased 27.6% from the prior year to $358.6 million, resulting in a 1.38 net book-to-bill. For the full year 2020, net new business awards were $1.2 billion, an increase of 7.4% and ending backlog as of December 31 was $1.5 billion, an increase of 20.1% from the prior year.  Revenue was $259.7 million in the fourth quarter of 2020. This represents a year-over-year increase of 13% on a reported basis, and 12.2% on a constant currency organic basis. Full year 2020 revenue was $925.9 million, which represents a 7.5% increase from 2019 or 7.3% on a constant currency organic basis.  EBITDA of $60.2 million increased 46.3% compared to $41.1 million in the fourth quarter of 2019. Full year 2020 EBITDA increased 25.5% to $187.8 million compared to $149.6 million in 2019. On a constant currency basis, fourth quarter and full year EBITDA increased 46.4% and 24.6%, respectively, compared to the prior year. EBITDA margin for the fourth quarter was 23.2% compared to 17.9% in the prior year period. For the full year, 2020 EBITDA margin was 20.3% compared to 17.4% in 2019.  The higher-margin was primarily attributable to lower reimbursed out-of-pocket expenses and employee-related expenses as a percentage of revenue. In the fourth quarter, 2020 net income was $50.9 million compared to net income of $29.8 million in the prior year period. For the full year 2020, net income was $145.4 million compared to $100.4 million in 2019. Net income growth was primarily driven by higher EBITDA as well as lower amortization, effective tax rate and interest expense. Net income per diluted share for the quarter was $1.35 compared to $0.78 in the prior year period. For the full year 2020, net income per diluted share was $3.84 compared to net income per diluted share of $2.67 in 2019.  Regarding customer concentration, our top 5 and top 10 customers represented roughly 17% and 25%, respectively of our 2020 revenue. In the fourth quarter, we generated $105.5 million in cash flow from operating activities, and our net days sales outstanding decreased compared to the third quarter from negative 27.4 days to negative 33.6 days.  During the quarter, we repurchased approximately 411,000 shares at an average price of $115.42 for a total of $47.4 million, and we have $102.6 million remaining under our current share repurchase authorization.  We ended the fourth quarter with $277.8 million of cash, no outstanding debt and $50 million of undrawn capacity on our revolving line of credit.  Moving now to our guidance for 2021. We are now forecasting total revenue in the range of $1.075 billion to $1.175 billion for the full year 2021, representing growth of 16.1% to 26.9% over 2020 total revenue of $925.9 million. Our 2021 EBITDA is expected in the range of $205 million to $225 million, representing growth of 9.2% to 19.8% compared to EBITDA of $187.8 million in 2020.  We anticipate our 2020 effective tax rate to be in the range of 15% to 16%, we have assumed 37.8 million fully diluted shares for 2021, and there are no share repurchases in our guidance.  We forecast 2021 net income in the range of $154.5 million to $170.5 million and earnings per diluted share in the range of $4.08 to $4.50.  With that, I will turn the call back over to the operator so we can take your questions.
Operator: [Operator Instructions]. And your first question is from the line of Dave Windley of Jefferies.
David Windley: I wanted to understand a little bit better your expectations, Jesse, around kind of backlog conversion. I know in the slide deck you gave the percentage of the -- or the portion of your backlog that you expect to convert over the next 12 months. But also looking at your conversion rate as it has recovered from the COVID impact in 2Q of '20, how are you thinking about backlog conversion? And maybe just help us a little bit with the cadence of revenue as it progresses through '21?
August Troendle: Go ahead, Jesse.
Jesse Geiger: Yes. Thanks, Dave. As it relates to revenue cadence, we are anticipating revenue to increase as we move through the year. So do expect revenue to be potentially slightly back-end weighted, second half versus first half of the year. But as you know, quarter-to-quarter, a number of different things can cause some volatility in the quarter-to-quarter revenue. So that's always a factor there.  On the burn rate, it did tick up in the fourth quarter. The average for 2020 was in I think 17.3%. So how that burn rate continues through the next four quarter really depends on the strength of the business environment, but I think kind of a 16% to 18% range is a reasonable expectation.
David Windley: So if I'm right to interpret that from what you just said that the burn rate comes down a little bit sequentially in the first quarter or maybe more than a little bit if 16% is the lower end of your range. I mean, that's a couple of percentage points lower. Does it drop kind of within that range in the first quarter or the first half and then scale back up over the course of the year? Is that how you're thinking about that?
Jesse Geiger: Not necessarily. I mean, I think it could be up or down in any -- sequentially any quarter-to-quarter as we go through these next couple of quarters. It really depends on the size of the awards, obviously, relative to the revenue sequence. But yes, I think I would not expect it to necessarily stay at or above Q4 levels necessarily.
David Windley: Okay. And then a follow-up on the cost side, August, I hear your voice in there. I wasn't sure if you were on the call or not. But you've talked in the past about 20% top line growth being kind of the upper bound of a comfortable level for Medpace, obviously now guiding higher than that. Wondering if there's anything we should know in there about relative pass-through versus direct service fee, but I'm thinking more in terms of your staffing levels and ability to meet that level of growth.  I noted that your headcount growth in 2020 was about 3%. So slower than your revenue growth for 2020. So maybe you could talk about where you currently stand as it relates to the billable headcount to get those projects done.
August Troendle: Yes. I think -- Dave, so I think we're in pretty good shape. We went into 2020 with a considerable excess amount of staff because we're expecting growth, we're actually hoping for growth in above 20% in 2020. That didn't happen. So we didn't need all that staff. And so in fact, we probably didn't need to hire anybody in 2020. We really didn't, despite the ramp in revenues later in the year.  So we always are hiring ahead and I think we now are -- as you saw in the fourth quarter, we are now starting to add headcount, but we were kind of using slack capacity until then. You're right, the revenue growth will be a little bit skewed potentially towards pass-throughs as investigative site payments increase ramp a little bit faster than direct costs during the year. So that is part of it.  So not all of it is revenue that requires scaled people. But we will be scaling along with revenue through this year now in anticipation of continued strong growth into the future. And remember, I did say kind of a 20% is a good target, and it's difficult to grow a lot more than that on a multiple year basis.  Of course, any given year, we've built up quite a bit of slack capacity going into it, and it's a matter of keeping up with that over time. So I think we're in good shape now. We'll see how things pan out towards 2022. But we do anticipate we'll be hiring pretty much in line with revenue, at least direct revenue gain or growth over this year.
Operator: Your next question is from the line of Donald Hooker of KeyBanc.
Donald Hooker: You guys recently announced a collaboration partnership with, I guess, a consulting firm called Greenleaf Health, I believe, a week or 2 ago. And I just would love to hear kind of maybe -- your press release said. I just wanted to hear maybe kind of what that regulatory affairs consulting firm gives to Medpace that you didn't already have and why you chose to partner there instead of build it yourself as traditionally is the Medpace way?
August Troendle: Yes. That's really a partnership because of the unique staff that they have there. They have a number of ex-FDA, relatively recent ex-FDA senior individuals that bring a very strong important view and do regulations and how they're evolving. And I think as we scale our regulatory group, we have -- I think we're never going to hire those kind of individuals. I think that -- and they are located in the Washington, D.C. area near the -- like where FDA is located.  And so I think they offer unique capabilities that we don't generally -- we don't do consulting. We don't do regulatory consulting by itself. We do have good regulatory individuals for trial execution and developing protocols, et cetera.  But generally, evolving trends at FDA, you're going to want individuals who have recent experience there and real insight and that's opportunity for us to tap into that. And as I said, we don't generally do consulting per se, as a stand-alone, we don't do.  So the partnership is we can bring them clients that can benefit from their expertise. And they can help us be top of our game in terms of knowing expectations in evolving fields of regulatory affairs. So it's, I think, a really good opportunity for us and a strong partnership, and I think will have real benefits on both sides.
Donald Hooker: Sure. If you don't mind, maybe just as a follow-up to your comments there, you referenced sort of evolving trends in the regulatory area. There are a lot of evolving trends in the regulatory area, obviously, but are there particular examples or case studies? Or just to maybe concretize it a little bit better for us, kind of what they're going to give. I assume this is going to help you guys grow over time for that particular case. Go ahead, sorry.
August Troendle: Sure. No, it's across a whole spectrum, but I think kind of a little bit of a focus for us was sort of the changes towards limited patient access and virtualization of trials and new technologies and their acceptability as endpoints for trials and how that's viewed. And so I think it's kind of played off of some of the changes that have been pushed, accelerated by the pandemic and better evolving trends in the industry overall. So that was kind of one of the starting places, but they have expertise across really a breadth of regulatory affairs.
Donald Hooker: Sure. Maybe I'll just ask one other follow-up, and I'll let other people jump on. The -- I don't think you commented -- just to maybe get some clarity around free cash flow going into next year and kind of what a good CapEx number should be, so we can get to kind of our free cash flow? I don't think you mentioned that. I know you guys had done some build-outs in the headquarters. And just thinking if we can get some thoughts around working capital and free cash flow or working capital and CapEx to get to sort of some directionality around free cash flow next year would be helpful.
August Troendle: Yes. Jesse?
Jesse Geiger: Yes. Thanks, Don. Let's see. So for CapEx, we're anticipating around $44 million of capital expenditures in 2021 and then DSOs have continued to be favorable for us. And so from a free cash flow conversion standpoint, we had pretty high conversion in the fourth quarter. It's 162% of EBITDA. For the full year, it was lower, it was 121%.  As we think about going into 2021, we certainly like when the environment gives us that kind of cash flow conversion. But as we think about our internal modeling, we do tend to model something less than that but it would not be out of question to have 100% or high 90s percent EBITDA to get to free cash flow conversion.
Operator: Your next question is from the line of Erin Wright with Crédit Suisse.
Erin Wright: I just wanted an update on how underlying fundamentals are trending now, whether it's RFP flow or site accessibility or study start ups? Are things generally normalizing? And what are you seeing kind of across the market as it stands today and kind of what you're anticipating as things potentially normalize, hopefully over the course of this year?
August Troendle: Sure, Erin. I think from a site perspective and kind of operational challenges of the pandemic, I don't think anything's changed materially since September. So I think Q4 and into Q1, things are pretty consistent in terms of access, our use of remote monitoring and all the tools we've put in place back early on in the pandemic.  Things have not opened up. I don't see even a trend towards improvement in the past 4 or 5 months. So I do think that still is ahead of us. I certainly think we will get back to somewhat closer to normal and later in the year, hopefully by about midyear. I think some of the tools we've put in place will potentially continue indefinitely. But I do think we're still faced with the same challenges we had back in September and dealing with them as well as we did.  I think that what has changed is, I think, more and more companies moving forward despite the challenges and the friction there. But we've worked effectively around those challenges. And I think programs are generally progressing pretty well. So I think a lot more clients are moving forward.  So as your question, how is RFP flow and all the rest of it, I think that is doing well. I think -- again, I don't think there's been changes in the last 5 months, I think it's been strong through the fourth quarter and continuing. We continue to see quite a bit of opportunities and programs moving forward.
Erin Wright: Okay. Great. And then following up on hybrid-virtual decentralized trials. How do you think about your competitive positioning there? And do you think that you do need to make stepped up investments around that arena at this point? I mean, you've clearly adapted well in this sort of environment, but I'm curious how things are shifting in a post-COVID world, do you need to step up investments around that arena?
August Troendle: Yes. I don't think they'd be material investments from our financial perspective. But I think we always are investing in technologies, wearables technologies for remote, data review, et cetera. So kind of hybrid trials we do, and I think we are competitive. I think we will continue to invest in the area as it evolves as we have in the past. I think virtual trials and truly sightless trials and things like that, I don't see that as a meaningful part of the marketplace in the foreseeable future for where we operate. So we're not really investing significantly there.
Operator: And your next question is from the line of Sandy Draper of Truist Securities.
Alexander Draper: And I don't think this is a repeat question. I got on a little bit late, and so I apologize for that. But maybe a follow-up to that last question, August, about when not really looking, when we get back to whatever the new normal is. But whenever that is, what do you expect to go back to normal and to change? Obviously, you guys and a lot of the industry is adapting pretty darn well. But what do you think, I guess, both from the operational side goes -- changes? And then maybe, Jesse, from the financial perspective, what changes? I mean, maybe one obvious answer is people get back to travel and on planes and so your expenses have a lift. But just trying to think about when we do start to see the -- everything opening back up, what changes that because you've made a lot of adaptations, both from an operational and financial perspective.
August Troendle: Sure, Sandy. Yes, I think we are still seeing more virtual access to sites than we would prefer. And I think that is most efficient in the currently designed trials. And so we are still having limitations on direct site access that does cause some inefficiencies. We are managing around it, but I would not -- but there is somewhat of a backlog in some cases of review of some things that has to be done on site.  And so I do think that there will be a kind of a burst in travel needs of 2 sites, et cetera. I think that's one thing. I think as we get back to normal, there will be more general travel in the business, as you say, some of our internal costs of collaboration among groups and teams within the company. And also visit to clients, I think will happen again. I think that -- I think the pandemic has provided an opportunity to see the value of collaboration electronically through other means. And that's been better integrated into our routine team interaction with clients.  And I think that will continue. So I think the level will not be -- I don't think things are going to snap back to the way they were. I think we will continue to work, I think, a bit more efficiently on that side. But certainly, a number of those costs will come back and people will get traveling again is the big change I see.  And of course, look, I think with that is going to come better patient access to sites. And hopefully, in many therapeutic areas, an increase in the recruitment rate, et cetera, which is also going to drive additional needs to be on site.
Operator: Thank you. And that does conclude the Q&A session. I'll turn the call back over to Kevin Brady for any closing remarks.
August Troendle: Thank you for joining us on today's call and for your interest in Medpace. We look forward to speaking with you again in the first quarter 2021 earnings call. Thanks, and have a good day.
Operator: Thank you. That does conclude today's conference call. You may now disconnect.